Operator: Good afternoon. Thank you for standing by, and welcome to AppFolio Inc.'s Third Quarter 2024 Financial Results Conference Call. Please be advised that today's conference is being recorded and a replay will be available on AppFolio's Investor Relations website. I would now like to hand the conference over to Lori Barker, Investor Relations.
Lori Barker: Thank you, Victor. Good afternoon, everyone. I'm Lori Barker, Investor Relations for AppFolio. I'd like to thank you for joining us today as we report AppFolio's third quarter 2024 financial results. With me on the call today are Shane Trigg, AppFolio's President and CEO; and Fay Sien Goon, AppFolio's Chief Financial Officer. This call is simultaneously being webcast on the Investor Relations section of our website at appfolioinc.com. Before we get started, I would like to remind everyone of AppFolio's safe harbor policy. Comments made during this conference call and webcast contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events, including financial projections, future market conditions, business performance or future product enhancements or development is a forward-looking statements. AppFolio's actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in our SEC filings. AppFolio assumes no obligation to update any such forward-looking statements, except as required by law. For greater detail about risks and uncertainties, please see our SEC filings, including our Form 10-Ks for the year ended December 31, 2023, which was filed with the SEC on February 1, 2024. In addition, this call includes non GAAP financial measures. Reconciliations of these non-GAAP financial measures with the most directly comparable GAAP measures are included in our third quarter earnings release, which has been posted to the Investor Relations section of our website. With that, I'll turn the call over to Shane Trigg. Shane, please go ahead.
Shane Trigg : Thanks, Lori, and welcome to everyone joining us for AppFolio's third quarter 2024 financial results, results that demonstrate strong performance and reflect our relentless focus on customers. Revenue was up 24% year-over-year to $206 million in the third quarter, while non-GAAP operating margin expanded to 29% and non-GAAP free cash flow margin grew to 27%. We continue to invest in innovation that builds the platform where the real estate industry comes to do business. For several quarters, you've heard me talk about the exciting potential we see in creating additional value for residents through our platform, a key component of our long term vision. Yesterday, we unveiled FolioSpace, a next-generation resident experience that will redefine how property managers and residents connect throughout the entire resident journey. FolioSpace will enable AppFolio's 20,000 property management customers to create a unified and elevated experience for the millions of residents they serve, from application through renewal. A recent survey we conducted of more than 2,000 U.S. renters shows their expectations are growing across all aspects of the resident experience from timely communication to on demand digital experiences and a frictionless move-in process. Meeting these expectations is critical for property managers to gain an edge in an increasingly competitive market and FolioSpace is poised to help them attract and retain residents. Our acquisition of LiveEasy, which we also announced yesterday, accelerates the potential we see in the resident industry segment by vertically integrating LiveEasy and offering its services as part of FolioSpace resident onboarding, we will reduce the stress of moving, deliver increased convenience and save renters time and money. We're excited to welcome LiveEasy's team and customers to AppFolio. FolioSpace is just one example of new innovation we are delivering that helps us differentiate to win, which is one of our enduring strategic pillars. We continue to lead the industry by embracing generative AI technology for the benefit of our customers. Starting next week, we are releasing Realm-X Assistant and messages to all customers and Realm-X flows to customers on our AppFolio Property Manager Plus and Max plans. These AI powered solutions automate routine tasks and key workflows, streamline communications and enable property managers to transform their operational performance. We worked with hundreds of customers to jointly develop this technology and ensure it is secure, easy to use, and delivers the outcomes they're looking for. The average time saved by our round next beta customers in completing their to-dos is a remarkable 10 hours each week based on their feedback. We also looked at hard data. In the last 30 days, our beta customers have sent almost half a million Realm-X generated messages, saving 26 seconds on average compared to a message composed without it. That's three full work weeks every year that each beta customer has saved just from implementing Realm-X messages. The impact of Realm-X extends beyond time savings, improving our customer's performance. Take the example of Atlas Real Estate with 6,500 multi-family, single-family in commercial units running on AppFolio Property manager Max. Recently, Atlas ran a competition for the staff member achieving the highest number of lease renewals. At the time, Atlas was participating in the Realm-X beta program, testing our Realm-X renewal flow at one of its property portfolios. The property manager overseeing this particular portfolio outperformed their colleagues by a significant margin claiming victory in the competition. Impressed by these results, Atlas quickly adopted Realm-X flows across all its properties. The outcome has been remarkable, an 8% overnight increase in renewal rates. Just imagine an 8% improvement in your business overnight. The future is here and we can't wait to get it into the hands of our customers to help them be more productive, give their teams and customers an exceptional experience and fuel the performance of their business. A second component of our strategy is to unlock upmarket customers. We are winning larger customers by extending the value of our platform to scale with their complex operations. In the accounting domain. We are beta launching a new budget creation tool for Plus and Max customers, where users can input and adjust their assumptions for future leasing metrics and watch the system predict the resulting revenue in real time. Additionally, our bill approvals process has a new interface that allows users to design custom approval workflows that run automatically based on conditions they establish improving the pace and accuracy of their monthly payable cycles. Another way we support mixed portfolio customers, both large and small, is by expanding our coverage of property types. We continue to innovate in the area of affordable housing, exemplified by our new wait list capabilities that allow customers managing HUD units to oversee critical wait list requirements directly in AppFolio, Property Manager, Pat Shumaker, Executive Vice President of Artcraft Management with 5,300 units on AppFolio Property Manager Plus recently told us “AppFolio’s HUD wait list feature enhances our ability to efficiently manage applicant queues, ensuring compliance and transparency throughout the rental process. This feature will make it easier to manage our HUD properties, but also improve the overall experience for both our team and prospective residents. Aligning perfectly with our commitment to providing quality management services.” A third component of our strategy is to elevate our customer by driving their adoption and success on our platform. Across the industry, cases of rental fraud are rising and consequently so are the time and resources it takes to qualify prospects for units. To help our property management customers combat this with less effort and better accuracy, we're launching new anti-fraud solutions like document verification, which detects pay stub tampering improves authenticity, and a new ID verification solution that verifies an applicant's identity in real time. Combined with our existing income verification offering, these services give customers access to a complete integrated anti-fraud screening solution. It's one way we're delivering on our company value to build trust every day. The final strategic pillar I'd like to cover today is great people and culture. Thoughtfully evolving our organization as we scale continues to enable our strategy. Since our last call, we have onboarded Marcy Campbell as our new Chief Revenue Officer, leading our sales and client services organizations where she will focus on optimizing the customer journey and strengthening our go to market capabilities. Her leadership will be instrumental in inspiring new customers to choose AppFolio and elevating existing customers to grow with us. Through our process our progress in the strategic areas I've highlighted, AppFolio's future has never been brighter. Speaking of the future, I look forward to seeing many of you at our future conference in San Diego next week, where our industry leading innovation and customer impact will be on full display. As you may have seen in our 8-Ks, Fay Sien Goon, our CFO is leaving the company. Tim Eaton, our Chief of Staff will assume the role of interim CFO, while we conduct an extensive and inclusive search for her successor. As I hand it over to Fay Sien to share more about AppFolio’s third quarter financial results, I also want to take an opportunity to thank her for her leadership over the past three years. She has helped foster an efficiency driven mindset across the organization and brought deep finance expertise to streamline and optimize our processes. On behalf of the entire AppFolio team, we wish her the best in her next chapter. Take it away, Fay Sien.
Fay Sien Goon : Thank you, Shane. Before I start, I want to take a moment to thank you and the rest of the team for these last three years. It has truly been a rewarding experience to help AppFolio become a more healthy, resilient business. I have total confidence that AppFolio is headed in the right direction and we'll be cheering from the sidelines as a shareholder. Now on to our results. We are pleased with our execution and third quarter growth in revenue and profitability. Our industry leading innovation and our exceptional customer focus are driving our third quarter financial results. In the third quarter, we delivered revenue of $206 million growing 24% year-over-year. Non-GAAP operating margin expanded to 28.7% from 16.1% last year, and we generated free cash flow margin of 27.1% compared to 20.3% last year. Core solutions revenue was $46 million in Q3, a 15.8% year-over-year increase, driven by new customers and additional total units on platform. In addition, we are winning larger new customers and we continue to see growth in adoption of AppFolio Property Manager Plus and Max. At the end of this quarter, we managed approximately 8.5 million units from 20,403 customers compared to 7.8 million units from 19,418 customers a year earlier. This represents a 5% increase in customers and a 9% increase in ending units as we continue to emphasize residential portfolios. Third quarter revenue from value added services grew 28% year-over-year to $158 million. The growth primarily resulted from higher usage of our online payments platform and our decision to stop waiving our eCheck fees in August of 2023, partially offset by reduced fees associated with certain card-based payments. Additionally, Q3 risk mitigation and screening services grew in line with our seasonal expectations. Turning to spending. We exited the quarter with 1,549 employees, up slightly from the prior quarter. This reflects our continued investment in innovation, including strategic initiatives like Realm-X, the resident experience and expanding into new property types. These investments are aimed at delivering even more value to our customers. Cost of revenue exclusive of depreciation and amortization was 34% of revenue compared to 36% last year. The decrease was primarily due to eCheck fees and internal operational improvements. On a sequential basis, costs were down slightly from 35% of revenue due to the seasonality of certain value-added services and product mix. Demand for our screening services and risk mitigation product is typically seasonally higher in the second and third quarters and slower in the fourth quarter as leasing activity declines during the winter months. As a percentage of revenue, combined sales and marketing, R&D and G&A fell to 35% from 44% last year due to growth in revenue and our collective focus on operational efficiency. Sales and marketing expenses as a percentage of revenue decreased from 15% in the third quarter of last year to 11% this quarter. Our conference related expenses are shifting from the third quarter to the fourth quarter of this year. Our R&D expenses as a percentage of revenue decreased from 20% in the third quarter of last year to 16% this quarter. We achieved this through operational efficiencies and disciplined allocation of investments. G&A expenses as a percentage of revenue decreased from 10% in the third quarter of last year to 8% this quarter. Overall, non-GAAP operating margin grew to 28.7% compared to 16.1% last year. Free cash flow margin this quarter was 27.1% compared to 20.3% in the third quarter of last year. Our strong cash and investment position of $331 million at the end of the quarter is a testament to our disciplined approach to execution and investment. The acquisition of LiveEasy for $80 million in cash exemplifies how creating investment flexibility has enabled us to deliver on our strategy. Revenue for LiveEasy will be immaterial in the fourth quarter, and we anticipate adding approximately 65 employees to our operations. We are raising our projected full year revenue guidance to $786 million to $790 million, which implies an annual growth rate of 27% based on the midrange of -- midpoint of the range. Our updated guidance reflects our expectations for continued customer upgrades to premium product tiers and adoption of our value-added services. Our guidance also affected in a modest increase in card usage and reduced transaction fees associated with card-based payments. Cost of revenue exclusive of depreciation and amortization is expected to decrease slightly as a percentage of revenue compared to the prior year due to the eCheck fees, product mix and operational efficiencies. We expect the fourth quarter of 2024 to have a higher percentage of revenue than the third quarter, primarily due to the seasonal nature of some of our value-added services. We are raising our guidance for the full year non-GAAP operating margin to 24.5% to 25.5%. Our free cash flow margin guidance remains 22% to 24%. This reflects continued growth in units and ARPU, partially offset by reduced card-based fees and increasing headcount, enabling us to achieve our strategic objectives. All while we continue focusing on operational efficiencies. On a sequential basis, we expect a decline in operating margin in the fourth quarter as our revenue resumes its typical seasonal pattern. The timing and increased investments of our future conference and the partial quarter impact of operating expenses associated with the LiveEasy acquisition. Diluted weighted average shares outstanding are expected to be approximately 37 million shares for the full year. In summary, we are pleased with our revenue growth, profitability and strong financial discipline, which has provided us with the flexibility to continue strategic acquisitions that benefit our customers. Thank you all for joining us today. Operator, this concludes today's call.